Nilay Shah: Hey, everyone. This is Nilay Shah from Lionsgate Investor Relations. I hope everyone is doing well. This is the first time that I myself doing an event with Ticker to kind of discuss Lionsgate as an operating business, but also kind of recap the quarter. But also, it's the first time we've done anything of this magnitude directly to kind of speak to and listen to our retail investor base. And so I've basically gotten about 20 questions. I'm not sure I'll be able to get through all of them, but we will try to get through as many of them over the next hour. So I'm really happy to see the level of engagement that our investor base and those in the financial community, whether they're casual retail investors or investors that do this for a living, et cetera, that questions they have for Lionsgate. I think it will be a really good call and we'll cover a lot of ground. And so I really thank the Ticker team for setting that up.
Nilay Shah: And I wanted to actually start because one question that just came in that I thought would actually be a good way to start even before we talk about the company. Someone just said, hey, why are you guys doing this call? What is the plan or what does Lionsgate management gain from doing a call like this? And the reality is, ever since we joined Ticker, we've had a lot of engagement directly with our retail investor base in terms of their being able to take advantage of things that we can give them that are tied to Lionsgate or STARZ-related content, right, whether it's a discount to buy movies, whether it's a discount on STARZ, whether it's Lionsgate-related merchandise, those are all great things, and I think it makes investors that are owning a stock feel like they have a different set of attachment to Lionsgate as a company. I think ever since I started thinking about what we do with Ticker and given that we're a consumer product or a consumer-oriented company, I always felt like we had a potential to actually use Ticker as a way for us to better communicate with our retail investor base. And so that's really what I'm trying to do is democratize the access to how we view the company, how we view the outlook. Things that we discuss on the call, I can dive in a little bit deeper. When I say discuss on the call, I mean an earnings call, I can dive in a little bit deeper and try to give a lens or some perspective that some of the institution or larger investors get when they meet with management, try to basically break down that barrier and give that access to retail investors through the Ticker platform. So that's really the genesis behind this. There's no other kind of motive other than just to get a consumer-based company like Lionsgate, a Hollywood Studio be able to give a little bit more about the investment philosophy of why we think Lionsgate is as well-positioned as we do and open that up to kind of the masses, if you will. So I guess that I have a long list of questions here that I'm going to scroll through. They're all coming in bit by bit. So let me try to answer them kind of in a hotch-potch format, but I do want to start big picture. One question just came in and said, look, tell us how Lionsgate has evolved over the last decade or so? I think that's a great kind of icebreaker to talk about what we are today, but where we came from, right? So let's just step back 10 years ago. Lionsgate 10 years ago was primarily a Hollywood Studio making television and at the time, primarily film content, right? We were riding high on successes like Twilight, Hunger Games, I think the first John Wick came out a few years -- it wasn't a decade ago, but it was in the kind of the mid-2015, 2016 time frame. And so we were primarily a Hollywood Studio that didn't really have what you call a streaming service of our own, right? We were making content for -- obviously, for the theaters through the movie side of the business, but then we were also making television shows. We obviously had the success of Mad Men. We had shows like Orange is the New Black. But what we didn't have was we didn't have a service, if you will, that we were making content for directly or we didn't have a direct-to-consumer service. And so looking back, when streaming was getting bigger and there was a view in the industry that perhaps we needed to be more vertically integrated, right? So we made content, but maybe we need to sell that content to an entity that we own to help, one, bolster our studio, but also to be able to be, I would say, hedge somewhat longer term, if all the studios only ended up making content for a streaming service that they own, we wanted to have that optionality. And so we actually went out in 2016 and bought STARZ and that has been a very successful investment. We generated a ton of cash from it, and it's created a lot of IP that we've used at the TV side of the business to actually build a bunch of library content as well. But the reality is that as we step back and we realize what the market was valuing this company at, as we looked -- after STARZ had been within the mix for a few years, what we realized is we weren't really getting the credit for what each of the businesses was worth, right? Everyone was looking at Lionsgate and saying, hey, you're the Studio business, right, that makes movies and makes TV shows, we were also this streaming service called STARZ that also has this direct-to-consumer service that has a profitable business that has 20 million-plus subscribers, but you look and feel like every other media company, right? You look like Warner Bros., right? Warner Bros. has a studio, but then they also have HBO, right? Paramount has a studio, but then they have Paramount+. NBC has a studio and then they have Peacock. And so we felt like that kind of getting bucketed and being called every other studio just didn't make a ton of sense. And so we felt like we were getting misvalued by the market, right? We were getting our multiple -- the multiple that people were paying for our stock was being dragged down by the fact that people thought we looked and felt like every other vertically integrated Hollywood studio. And so we have gone through a process over the past few years of trying to separate the businesses. And we've gotten to a place now where if you -- any of you guys have been following the news and our stock, we announced that we were establishing a new security called Lionsgate Studios, Ticker LION, L-I-O-N, that trades on the NASDAQ and that trades as a separately traded company and the parent company of LGF, which a lot of you own that are on this call, owns over 85% of Lionsgate Studios, okay? But now that, that is a public company, we have an ability by the end of this calendar year, which is the end of calendar 2024, we will be able to separate the businesses entirely by distributing that 87% stake that we own in Lionsgate, the parent, the stock that a lot of you own on this call, we're going to distribute those shares to -- we're going to distribute the Lionsgate Studio shares, the L-I-O-N shares that are owned by the parent, we're going to distribute that on a tax-free basis to all shareholders. And so in doing so we will fully separate the companies and I think the whole goal here is to really create 2 pure plays that the market can value not tied to the multiples of our peers but rather what do you want to pay for a pure-play unencumbered studio asset, that's an independent studio asset with a massive library. And then what do you want to pay for a profitable streaming service, the only other profitable streaming service other than Netflix with $200 million of EBITDA and almost $1.5 billion of revenue. So that's really the migration was -- we were a stand-alone studio. We bought STARZ and now we're trying to unpack that to try to maximize value for everyone on this call and our broader shareholder base and we expect to do that, like I said, by the end of the calendar year. So hopefully, that kind of answers a question kind of where we are today. So I do want to pivot to another question, which is, to what degree do you see the level of recent growth continue? I think that's a great question. The reality is that we look at our growth in many different ways, right? We have the growth of our library, right, which is every year, we are spending to make content, whether it's the next John Wick, whether it's another Hunger Games, whether it's a Saw movie, whether it's -- or a show for CBS or Netflix, whatever. Every year that we're making content, we are adding value to our library, okay? So when we talk about growing the asset value, right, it's really about growing the library over time, right? Because at the end of the day, the biggest differentiator that Lionsgate will always have as a stand-alone company, that's a stand-alone studio once this full separation happens, is that unencumbered library of 20,000-plus titles, right? That is the business that ultimately funds, right? That business is a passive income stream, right, that generates revenue into perpetuity and that passive income stream will allow us to fund other investments in new -- in trying to find the next Hunger Games and trying to find the next John Wick spinoff, and trying to find the next Saw franchise or Now You See Me or Highlander, or working on the Michael Jackson film, right? When we make new content, we are using the cash flow from the library to help fund the creation of new content, right? It's almost -- in many ways, if you guys have ever looked at a pharmaceutical company, right, what do pharmaceutical companies, how do they operate? They have a patent portfolio. They have drugs that are already out in the market that are very profitable and generate revenues while they are patented. And that revenue and profit they're generating on those drugs helps fund R&D on making new drugs. It's a lot like how Lionsgate operates its studio business, right? So we're always focused on growing the library over time, and we do expect that to grow. And then the question is how do you grow your revenue and your EBITDA over time? And I think the big component of that, along with the library growth that we just talked about, we still expect to grow our EBITDA from making more content and making it profitably and having key franchises in both TV and our Motion Picture side to continue to grow and accrete value over time, hopefully more profitably. So on the Motion Picture side, 2015 -- 2014 was a great year, right? We had -- basically John Wick came out at the beginning of fiscal '24, right, because it came out at the end of March. Our fiscal year starts in April. So we had -- we started our fiscal year last year with the success of John Wick and then we had Hunger Games, which did very well. And then as we go into this year, because of the strike, we don't have as many tentpoles as prior years, but we do have Borderlands coming out later this summer. We have -- we're reviving the movie The Crow as well later this year. We have a few comedies coming out in the wintertime. We have a film called White Bird, which is a spinoff of the Wonder franchise. And so we expect to have really strong growth year in Motion Picture. At TV, because of the strike, we think that there's a big growth year this year because the strike obviously impacted fiscal '24 a bit. When we look into '25, we expect to have, obviously, some more deliveries of content, right, because things got pushed out. So we should have some nice growth there. We expect that we did a deal, which we haven't discussed, but you guys may have seen headlines where we bought the studio business that Hasbro owned called eOne. We bought that asset last year, it closed at the beginning of this calendar year, but it will help us grow in fiscal '25 as well because we got a bunch of really interesting properties there, some TV franchise like -- TV franchise like The Rookie, which is one of the most popular scripted shows. It's a procedural on ABC. We have Yellowjackets, which is a show on Paramount+. And then, of course, we have our legacy titles and shows that we make for both STARZ as well as for other buyers like we have one of the most popular comedies on CBS called Ghosts. So we really expect a really strong year of growth in '25. And then when you look out into '26, I think what's most fascinating is we might have our best movie slate since I've been at the company or maybe our best movie slate in recent memory. So we'll have the Michael Jackson biopic, which I don't know if you guys have seen any of the kind of the coverage on that. But I expect that to be one of the bigger global box office surprises of calendar '25. It's going to be coming out, I think it's next April, so it will be in our fiscal '26, but I expect really big things from that film. And then we have Ballerina, which is a John Wick spinoff, and I expect all the data points that we've been getting lead me to believe that, that film will be -- could be one of our bigger franchises and could do in similar kind of magnitude what a traditional John Wick film does. So we're super excited about that. And it just kind of leads us to believe that the outlook for the business from a growth perspective looks really strong beyond just the next 6 to 9 months. Let's go to another question. I just want to make sure we get a variety of things. So someone asked -- I'm going to kind of hop around here. With the recent announcement of Lionsgate Studios, which we discussed, what assets are remaining under LGF.A and LGF.B? This is actually a good question because I think it will help explain a little bit about what we're trying to do. So as it stands, like I talked about, LION was created, L-I-O-N, Lionsgate Studios, of which LGF, right, people on this call own 87% of and then 13% of LION is owned by new investors, okay? And once we spin off the 87% stake of LION that's held inside LGF, LION will then be freely traded with all the shares we trade, there won't be 87% locked up by the parent. And then the remaining LGF will really just be STARZ. And so STARZ will probably change the Ticker from LGF to something STARZ related, but the remaining business will be STARZ, which like I said, is a profitable business that's going forward, really going to be focused on the U.S. and Canada. It's generating north of $200 million of EBITDA a year and it's generating a ton of cash. STARZ was a more international global business up until about 12 to 18 months ago when we exited most of the international markets. And while we fully exited the UK earlier this calendar year and so now STARZ is just going to be North America focused. It's a much more, I would say, stable growing business that we do expect to grow revenue and EBITDA over time, but that's what will be remaining once the Lionsgate Studio shares are spun off to shareholders. Someone asked -- I am interested in learning more about Lionsgate's content production strategy amidst growing usage of consumer streaming platforms. Yes, look, the nice thing about that question is I think that it's a great question because it's like, look, in a world where everything is moving to streaming, right, how is Lionsgate adapting? And the reality is because we aren't tied to the linear business, right, we don't have -- we don't have an opportunity cost from making all of our shows for streamers, right? If you look at the industry in its entirety, the biggest thing that the industry is trying to go through is they want to embrace streaming, right? All of our peers want to embrace streaming, but how do you do that when you have to give up, right, when you have to give up what you're doing already for linear and that business may be very profitable. The nice thing for our Studio business is that we are not really tied to the linear business. We don't generate any revenue from advertising, and STARZ has very little linear exposure. So we don't have a lot of revenue tied to the legacy video cable bundle. So we can make the pivot to streaming very quickly. And if that's where the demand is, that's where we will make our content. We will -- we are agnostic in terms of who our buyer is. We are more, I would say, capitalistic in terms of we will go to the highest bidder versus, hey, do we want to make this pivot because what does it mean for other parts of our business? We don't have that sort of risk that I think -- I wouldn't say it's plaguing others, but it's a bigger cost-benefit analysis that some of our peers have to make. Let's see, just going through. Are there any new partnerships developing that would bolster the gaming side of the business? So that's a great question. As it stands today, where we see -- where we prefer to dabble with gaming is not something in-house, but rather I think we would prefer to license our content to potential other gaming businesses. So what I mean by that is, and we've announced, so there will be a John Wick AAA video game. We haven't announced who the software developer is, but we will not be developing that in-house, and we don't have the capacity to do that nor do we want to spend that, but we will partner with a third-party software developer, a third-party AAA developer to make a game that we will then hopefully monetize. But we will want to make sure that it is within the guys of the John Wick franchise and you don't want to dilute the franchise. So that's where we would prefer to play. But we are also doing things, right? So I mentioned the Borderlands film that we have coming out, that's a Take-Two game that is very popular, has a rapid fan base, and we are going to make a movie out of it later this year. It's a great cast, Kevin Hart, Jack Black, et cetera. I think that, that film will do extremely well. But it's another way where we are trying to align ourselves with pieces of IP that have an embedded fan base that we can kind of give them other ways to interact. And when you talk about gaming, obviously, people think about video games, but there's also other type of gaming. And so the other thing we did announce is in the transaction we did where we bought eOne, which is a studio that Hasbro owned, we announced as part of that, that we have the rights to make a Monopoly movie. And I don't know if you guys have seen the headlines. But Margot Robbie is going to be the executive producer behind that film, which is great, and we're really excited. We haven't given a date on that film, but it's things like that, right, where we -- again, taking a franchise, it's obviously a video game franchise but a gaming franchise. And somebody even say it is a video game franchise just given how successful Monopoly Go! has been as a mobile app, but that's another way, place where we are taking gaming piece of IP and trying to embed ourselves and attaching ourselves to that. But in terms of us actually making video games based on our content, we're not going to go through that. That's obviously a much bigger cost exercise than what we would want to do. Let's see -- so someone asked, how is the company leveraging data analytics and AI in its operations? Yes, it's a great question. We are actually going through that as we speak. So we'll have -- I'm sure we'll have more to say, but we are not being cavalier or kind of dismissive of either the opportunities or the threats of AI, but I think we will be a quick adopter, one, because we operate a pretty lean infrastructure, meaning there isn't as much red tape, I don't think, at our company as others, and we're a very entrepreneurial organization. So we are actually going through the motions with advisers on how to best implement every AI tool that is within reason and within a cost structure that makes sense, how to implement it to make our marketing, content production, advertising, how we even make -- how we even produce sizzle reels or trailers. Everything that we do, all the database of library content we have, how do we better figure out ways to, hey, if these types of films are working on Netflix, how do we mine our 20,000-title library to better approach Netflix with, hey, these are the titles that we have that might actually fit the genres you're working beyond just the cursory, hey, this is a thriller or this is a comedy or drama? How do we go deeper and use AI to help us better sell the product we already have? So that is definitely an ongoing effort, and I expect that to be a bigger part of what we do. And again, we will -- given our size, we have to watch how much we budget to that, but it will all be under the guise of making sure it doesn't impact our financial outlook over the next 12 to 18 months. How does Lionsgate view the competitive landscape, especially with consolidation of partnerships among major studios and streaming services? Great question. Look, I think we look at it and say the competitive environment and the competitive landscape and the consolidation part, it all just validates that what we are doing by separating our 2 businesses, creating 2 pure plays is going to put both STARZ and the studio in the best place for success. I really think that when you step back and you really look at just -- let's just talk about what's in the headlines. I have no idea what's going to happen with Paramount, and you guys have probably seen some of the headlines. But it's clear that there is a lot of interest potentially that some people have in the studio asset. And then there could be -- you've seen some of the headlines that maybe Byron Allen being interested and others being interested in the cable network assets and the broadcast assets, whether it's BET, Comedy Central, CBS, right? So there's basically 2 disparate -- there's 2 levels of interest, and they don't often -- they're not symbiotic, right? Meaning, hypothetically Sony and Skydance may only be interested in the studio and someone may only be interested in the streaming assets. I do think that we look around and you look at -- there isn't as much interest in a consolidating world maybe for vertically integrated assets. By us being one of the few Hollywood publicly trade studio companies that can actually do and separate and kind of untangle ourselves, I think we really put ourselves in the best position. In a consolidating environment, regardless of what happens, we're best strategically positioned of anyone else that's publicly traded. And I think that that's always going to be a big differentiator for us for a long time. So we went over -- okay. So as a result of the recent SPAC transaction, are there any legal or tax impediment that would make it difficult for Lionsgate's parent company to sell STARZ outright, if there was a compelling transaction? Great question. It's a very sophisticated question. In fact, there wouldn't be. So because we did the SPAC transaction and the way we did, and we didn't sell more than 20% of the studio, we only sold about basically about 13%, 14% -- actually 12% to 13%, there wouldn't be any tax implication. So I think that you can be rest assured that whatever we strategically do, whether hypothetically, at STARZ or the studio, there isn't going to be -- sometimes you have to wait a certain amount of time before you can do something strategically for tax [ reasons ], we won't have any constraints there. So we've really structured the transaction with Lionsgate Studios and the SPAC in a way that we feel really good about from an optionality standpoint and not being handcuffed to being prevented from doing something. Are you licensing content for longer terms now than previously? And how much of that increase in revenue on library is due to that? Yes, I would say I don't think we are at all licensing content for longer terms. I think generally speaking, when you -- licensing deals from what I understand are between 18 to 24, maybe 36 months when you license these content, everything is different. Sometimes our distribution team, which is run by Jim Packer, maybe only able to license something for 3 months before it's already contractually obligated to go somewhere else. But we do not feel like the revenue is being pulled forward, if that's what this question is asking because we're selling a bunch of content for the next 10 years and recognizing all the revenue at once. And I think that you can see that and based on the stability of the revenue of our library revenue every quarter, we just had an all-time high library revenue in the quarter. And that's not because we had just some one big sale of content that we won't then be getting back from our -- into our library for the next 10 years. It's really no one wants to make commitment to buying a piece of content or licensing a piece of content for more than, I would say, 24 months at a time, right, because that's a big time period to license a piece of content for without knowing how customer demands may change, et cetera. So there's always things coming in and out. So you don't have this risk of a sudden cliff in your library revenue after a short amount of time. So let's see. How do you envision the strategic direction of both Lionsgate and Lionsgate Studios differing in the future? What unique opportunities do you see for each entity? That's a great question. Look, I think -- so let's just start with really the question should be, how do you envision, not to rewrite the question, but really, we should talk about what is now that we're separating what is the strategic direction of Lionsgate Studios? And what is the strategic direction of STARZ? I think that Lionsgate Studio, it's like that I talked about, just focus on growing our library, growing EBITDA over time, right? And if you can do that, if we can continue to, which I truly believe, have a pathway to long-term value creation through the library growing, which obviously helps EBITDA growth over time because of the cash flow generative capability of a library, I think that we can create shareholder value over time. And I think that by being a pure play, we put ourselves best position to either create shareholder value, to continue to grow EBITDA or like if we said that if there is strategic interest hypothetically down the line because we're a pure play and someone can just -- they know exactly what they're buying if they just want the studio business with an unencumbered library, they can have that, right? And then on the STARZ side, I really think it's now that the business has left the international side of the business and is really focused on being a North America cash flow generative revenue growth story with EBITDA growth and expanding margins over time, I think that people are going to realize that STARZ is a much, much better business than I think the market fears. And I think that as that occurs and STARZ continues to grow its EBITDA and generate cash flow, I think that it's going to create a ton of equity value, but also it's going to create optionality, right? Because now that STARZ has effectively transitioned from 2016, it was entirely a linear business. All of its revenue was coming from DIRECTV, Charter, Comcast, DISH, all the pay TV operators. As the world has shifted to streaming, STARZ has basically migrated its entire subscriber -- not entire, but 70% of the subscriber base by the end of fiscal '25. So by the end of March of 2025, 70% of its subscribers are now going to be OTT, right? And so now that it's made that transition, which was a hard transition, right, because you're giving up -- you're giving up a lot of revenue from your old bundle partners. You still value those partners -- it's still there. But as the bundle has gone down in value, you've had to migrate those customers to becoming OTT or digital customers. Now that it's done that shift, could STARZ potentially take that strategy and apply it to other cable networks that potentially could be open or interested to partner with STARZ or bundle, et cetera. Once STARZ is its own public currency, I think there's a lot of strategic optionality, whether it wanted to get bigger or potentially the same thing I talked about with the studio now that it's a pure play could someone be interested in a really interesting streaming-only asset that really caters to 2 demos, right, the African American and female demo that's profitable, is expanding margins and generating cash flow. Could that be of interest in a world where maybe streamers are consolidating? So I think they have a multifaceted kind of optionality as well, both similar but different paths as the 2 different companies. Let's see, keep going. You've made some big deals this year. Why did you decide to do it? How will they help Lionsgate? So yes, we have done some pretty big deals. I talked about the Lionsgate Studios deal. I did -- I talked -- I mentioned eOne a little bit. So let me just walk you through why we think eOne was such an interesting transaction. So eOne was an opportunity for us to buy a studio asset that had a big library, had a really nice television group and then had some motion picture type IP. So it fits perfectly with what we are trying to do with our pure-play television Studio, right? We have -- sorry, with our pure-play Studio, we have a television business. We have a motion picture business, we have a library. So the synergies, right, the heavy lift that you normally would have to have when you acquire another studio wasn't -- didn't have to be as heavy because we were able to integrate the eOne assets into a business that we already owned, right? And ultimately, right? Whenever you buy something, it's not what you get, it's what you pay for what you've got. And what we ultimately ended up buying this asset for, which was less than 6x EBITDA, we felt like it's going to end up being a home run for our company long-term because it's generating a ton of that EBITDA. It's already generating a ton of cash flow, but it brings a sense of optionality to what some pieces of IP inside of eOne could do for us in terms of making new franchises, expanding our library, helping with distribution, help our TV business grow. We're already doing that with The Rookie. And like I said Yellowjackets 2 pieces of IP. But are there other pieces of IP that maybe eOne was utilizing that we could utilize. So there's always going to be positive optionality. There's an asset inside of eOne that very few people talk about, which was the Mark Gordon production company. Most people haven't heard about it, but that is -- was one of the most preeminent Hollywood kind of television and motion picture production companies that was part of a lot of really famous shows, including Grey's Anatomy, Criminal Minds, a few that have escaped me at the moment, but a lot of prolific shows. And by partnering and by buying eOne, we basically bought the Mark Gordon production company library, and that's another passive income stream that no one's really giving us credit for, that we think we can not only find potential benefits from having a part of that, but it just -- it helps us justify the price we pay without having to do much because it is a passive income stream. Let's see. On the other deal, sorry, we announced that -- I didn't get to talk about was the 3 Arts deal. So we bought an asset called 3 Arts, which is a talent management company that we owned 50% of and then we bought another 25% of. They are one of the most preeminent talent management businesses globally. And the talent management business is very interesting because you can not only have access to the talent and you basically are aligned with the big talent, one of their biggest pieces of talent is Kevin Hart that they represent. But you also can help produce the content that, that talent is a part of. So they get some optionality that the typical agencies don't, the talent managers like 3 Arts end up actually being a little bit more vertically integrated because they have actually the talent, but they can also help produce some of the shows. And so they have become intertwined with our television group. And so we own 50%, and we had an opportunity to buy another 25%, which we're really making a big bet on being closer to the talent and having that talent management component will be a really nice value creator for the company longer term. So we're super excited about that deal as well. Let's see. How does management intend to reward public shareholders for the risk they take in owning Lionsgate stock? What actions does the Board intend to take to hold management accountable for the stock performance? Look, I think that's -- I totally understand the question. Look, in terms of rewarding public shareholders, look, what we will continue to do is, like I said, grow our EBITDA, grow our library, grow our cash flow over time. And if we can do that, right, the multiple will take care of itself, right? And that's really the focus of this company is building value through EBITDA growth and library growth generation and making content, finding new franchises. And we think that the stock will take care of itself in that respect. How do -- what actions does the Board intend to take to hold management accountable? Look, I think from a stock performance perspective, obviously, a lot of management compensation is paid in stock, right, until they are incentivized to have the stock go up to realize the full value of their compensation, and that will continue to be a big component. And I expect that to continue to be a conversation internally to align interest with management and the stock price. Have you -- would you ever consider consolidating the A and B shares? Yes, great question. Actually, it's funny that this person asks that. That is one of the steps. Before we fully separate and distribute the Lionsgate Studio shares to LGF.A and LGF.B holders, the intent, the plan, the focus is to first collapse our A and B shares. The A shares have a vote, the B shares don't. We will collapse that into one share class. It will be one share, one vote. There won't be this A share voting group and B share non-voting group. And in doing so, I think it will clean up the governance and kind of the structure considerably. So look forward to that. That will all happen in concert with the full separation. How is the integration of eOne progressing? Key progress points you can share? Look, the eOne integration is going very well. I think we announced a really strong quarter where eOne contributed a fair amount of EBITDA and library in the quarter, and we continue to learn more from the asset and integrate it. And we have -- we've realized that by being able to distribute a larger library, there's just a ton of cross-pollination, right, by our library that we had before eOne benefiting from buying eOne and being able to sell and mix and match what we license to various buyers. When you have a bigger library, you can meet demands of streamers more broadly, and that always obviously helps your over pricing and -- your overall pricing in terms of what you license your library for. But just in general, it puts us in a really good place. So we're really excited to be -- we have successfully integrated eOne, but there's still more integration to come. And I'm sure we'll give more data points in future earnings calls. Let's see. With the decline in movie theater revenues over recent years, how is Lionsgate adjusting its strategy for theatrical releases? Are there plans to shift focus towards streaming and digital releases or do you see a revival in theatrical revenue soon? Great question. I mean these are -- guys, these are some phenomenal questions that shows a sense of rigor and understanding that I'm actually glad we're doing this call because it's great to hear the sophistication. So yes, look, the nice thing that about our movie business is gun to your head, if someone would have told you 5 years ago, given the pandemic and what's happened in the theatrical business, do you think the Lionsgate's Motion Picture business would hit a 10-year high on segment profit over the past 12 months, right, the quarter that just ended, which was our fiscal year, most people would say there's no way in hell, right? Because how could that happen, right? Just given what's happened to the theatrical business, whether the pandemic, the strike, et cetera, streaming and yet here we are. Our movie business did the highest segment profit in a decade in a year when people thought that the theaters were terrible and they look out to fiscal '20 -- the next 12 months and they say, "Oh my God, the strike's killing the business again and Memorial Day weekend box office." Because we are agnostic at where the films are and how we sell the films and how we monetize the films and how we have shifted our marketing spend around the films. We can be a lot more profitable on films that make a smaller amount of box office than films that do 5x the box office, right? I think that way too many people in the Hollywood industry, whether it's because of revenue equals profit or revenue is closer to profit, way too many people think that bigger box office revenue means bigger profit, right? And that's just not the case. We have made a business out of making films for $25 million to $30 million, okay, in terms of cost, marketing it very well, marketing it smart and not overspending on marketing, not spending on marketing or advertising dollars that aren't really returning -- giving you return and figuring out ways to monetize it in nontheatrical windows to ensure that on a $25 million cost budget film, even if the film did $15 million in box, we can still make a profit on it, right? And over the past 12 months, despite all the concerns about the theatrical industry, only one of our box office releases has actually lost money, right? And so that makes me feel really good that no matter what happens to the movie business, I'm not saying that theatrical is dead or that it's going to revive or what, we are positioned in a way that we can shift to digital. We can shift the international presales strategy. We can shift the marketing. We can shift how we use tax credits. We can shift the post-theatrical windowing strategy we do. We can do all of that to still make a really, really high return. I mean, just look at this film that came out 2 weeks ago called The Strangers: Chapter 1. Amazing film, right? Not many people are going to talk about in the press. We will make an insane return on that film. I don't want to get into specifics, but it did a really good opening weekend. I think it's now over $20 million in box. That film, the return that we will make relative to the capital we invested will blow out any sort of major box office success that people talk about, even though no one really cares about that film because it's too small. But for our business model, it works, right? And so that's why we feel really good, regardless of what happens in the theatrical industry, we really like our positioning in the film side. Is the company doing anything to streamline its cost structure in the event of streaming companies cutting back on demand for content? Yes, I would say we've really kept our G&A pretty much flat. So when I say G&A, I mean, general and administrative costs, we really kept it relatively flat over the past few years. So we didn't over-hire and overspend in 2021. But everyone was like, "Oh my god, streaming is the new thing. The market is chasing it. It's a new gold rush." And so everyone was hiring thousands of employees. We didn't do that. We kind of stuck to our bearings. And so we have actually -- our North Star is to try to do more with the same, right, and try to keep our overall cost structure pretty much flat or inflation adjusted, keep it flat, and then reap the reward of not having to go up and down and hire and not hire and fire and do [ layoffs ]. We really want to try to keep it at a pace where come hell or high water, we can have a profitable growing business with this cost structure. And then we have to do more if things -- if we get busier, everyone will have to do more. And if things get slower, we know it's a temporary phenomenon. Are there any plans to introduce the -- an ad-supported STARZ product? So that's a great question. And I think we have time for maybe one or 2 more after this. But this is -- yes, can we expect to do -- can we -- sorry, are there any plan -- I'm getting fussy with this last question. Are there any plans to introduce an ad-supported STARZ product? At this time, there is not. STARZ has the capability. It has the technology to do it. I would say the one thing that is unclear of given that STARZ has very premium edgy content, it's not certain to us that, one, the advertisers would be aligned with the STARZ content in terms of wanting to have ads. Second, there is an investment cycle to create an ad team. Even if you outsource the advertising sales, it's not just something that you can turn on over time. But I do think that the optionality because the STARZ app is made in a way that it could ingest ads technologically, if there was something that came about where STARZ got bigger and they did some sort of transaction where it acquired or merged with or did something where it was part of something that wanted to sell ads on STARZ, it could do that. So it has the technological capability. It's just unclear if -- at this time, if that's what we want to pursue. We'd rather stay ad-free and premium unlike everyone else who they're kind of -- there's a gold rush towards advertising at the moment that we have decided not to chase to try to differentiate ourselves from that. And someone said -- last question, this is fantastic. Can we expect you to continue to do this type of event every quarter? I'd love to. Look, I think that this -- this event was great. I love having the opportunity to speak to retail investors. I think it's very important, especially, like I said, as a consumer-based company, but I also think it's important because -- we have embraced Ticker to get us closer to retail investors. The only way you can really do that is to speak to them instead of just -- in my opinion, instead of just giving them a few perks, let's actually give them access that they normally wouldn't [ and hear ] strategically. So I love to do it every quarter. And what I would like to do maybe next quarter is have it be less big picture and maybe talk about the quarter. I want to -- I mean, obviously, the questions need to be geared towards that, but I think we can make it a little bit more specific about, hey, what happened in the quarter and where are we going from here? So otherwise, or actually, look, maybe we have time for a few more because I'm just scrolling down here. Is there a bundling deal in the works -- sorry, I just almost say goodbye and now I see more questions as I'm scrolling down. Sorry about that. Is there a bundling deal in the works for STARZ and other streamers? I can't really comment on that other than to say we're open to doing bundles. We have some bundles in place. We have a bundle with AMC+. We have some bundles on Verizon as well. We have a bundle with MGM+. So I could see us being a natural bundling partner. We're a complementary product. We're not the main streamer for a lot of households, but we're a complementary part of their bundle. So I could see us being a bundling partner, and that's a great way for us to be part of a bigger package, but also cater to a base and a demo where our content really resonates. Let's see. Are the company's hands tied for legal or tax reasons for engaging in strategic discussions during the intervening product? Yes. So no, we -- our hands aren't tied. So we feel like we can have the strategic conversations because of the way we structured this deal. So that will not be an issue. Obviously, right now, all hands on deck on the full separation. So that's where we're focused. But like I said -- like I said earlier, we don't have anything prohibiting us. What do you believe will be a catalyst for a prolonged upturn in Lionsgate stock? Look, I think, like I said, if we can grow our EBITDA over time, that's all we can really control. I think the multiple will take care of itself. I think by separating ourselves from stand-alone -- or separating ourselves from the vertically integrated media companies like Disney and Paramount and being a stand-alone studio, we can kind of carve our own path in terms of multiple. We won't be tied to a multiple that, oh, well, how can Lionsgate trade at 11x EBITDA if XYZ is trending at 6x. We just won't have that because we will be a completely different business. And I think that ultimately, the value of the company and the multiple that you pay for the business should be a function of its growth, it's the confidence in that growth, right? Whether if it's going to grow one year, what multiple do you pay, but if you think that growth can continue, then do you pay a different multiple? And I do think that that's where we'll focus. And then strategically, like I said, we'll be one of the few stand-alone publicly traded studio-only pure-play assets and STARZ likewise will be one of the only stand-alone streaming assets that's not named Netflix. And I think that that strategically puts us in a position on both assets with a lot of optionality. Let's see. Yes, I think before we wrap, does anybody have any other questions? Sorry, this is my first time. So I need to do better about -- it's like walking and chewing gum. I need to be better at scrolling through the chat and the questions while I'm also responding to questions. But I think we have hit a good point to end it because, yes, I think generally speaking, this was a great call. I really appreciate everyone. Feel free, all of you guys can reach out to me at any time. It's nshah, so N as in Nancy, S-H-A-H, @lionsgate.com. Happy to have an individual call if people want to set that up but I'm happy to do this every quarter too. I really think, I genuinely do believe that -- there's a real opportunity here as a consumer-facing company for us to better connect with you guys and the broader community. So thank you, Ticker, for setting this up, and it's been great.